Operator: Good day, and welcome to the National CineMedia Q4 2025 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the call over to Chan Park, Vice President of Finance. Please go ahead.
Park Chan: Thank you, operator, and good afternoon. I'm joined today by our Chief Executive Officer, Tom Lesinski; and our Chief Financial Officer, Ronnie Ng. I would like to remind our listeners that this conference call contains forward-looking statements within the meaning of Section 27A of the Securities Act of 1933, as amended, and Section 21E of the Securities Exchange Act of 1934, as amended. All statements other than statements of historical facts communicated during this conference call may constitute forward-looking statements. These forward-looking statements involve risks and uncertainties. Important factors that can cause actual results to differ materially from the company's expectations are disclosed in the risk factors contained in the company's filings with the SEC. All forward-looking statements are expressly qualified in their entirety by such factors. Further, our discussion today includes some non-GAAP measures. In accordance with Regulation G, we have reconciled these amounts back to the closest GAAP basis measurement. These reconciliations can be found at the end of today's earnings release or on the Investor Relations page of our website at ncm.com. Now I'll turn the call over to Tom.
Thomas Lesinski: Thank you, Chan. Hello, everyone, and thank you for joining our fourth quarter and full year 2025 earnings call. 2025 was a year of meaningful progress for National CineMedia. We executed against our strategic priorities by continuing to invest in our platform and capabilities, driving increased advertiser demand and further positioning NCM to perform against a broader range of attendance environments. We also strengthened our exhibitor relationships, most notably through a new deal with AMC that was announced in the second quarter. The momentum we built throughout the year carried through the fourth quarter as we broadened our industry-leading reach with the acquisition of Spotlight, adding a new high-end luxury option to our network. These actions translated into year-over-year revenue growth, supported by healthy advertiser demand for our sought-after audiences and our continued focus on driving growth across the platform. This strength was also reflected in our fourth quarter results. NCM delivered total fourth quarter revenue of $93 million, in line with our guidance range and growing nearly 8% year-over-year, outpacing attendance trends. Adjusted OIBDA for the quarter was $37 million, exceeding our guidance range and representing an increase of 6% versus the prior year, supported by solid revenue performance and the resilience of our asset-light model. These results were driven by healthy advertiser demand and continued improvements in inventory utilization across our network. We generated and successfully captured strong interest against the slate of highly anticipated titles, including Wicked: For Good, Avatar: Fire & Ash, and Zootopia 2. This was made possible by our continued investment in strengthening our sales team, expanding our programmatic platform, and advancing data and measurement capabilities to meet modern advertisers' requirements. In particular, our focus on broadening and enhancing audience targeting and performance attribution continues to improve the value of NCM's platform, enabling us to attract new advertisers and deepen relationships with existing ones. During the quarter, 18 advertisers placed cinema advertising campaigns at or above the $1 million level, reflecting growing confidence in cinema as a core advertising channel. Total advertising revenue increased 9% versus the prior year to $90 million, driven by continued performance in the retail, wireless, and travel categories, alongside growth in the entertainment and media, pharma, and technology categories. Across the industry, advertiser budgets continue to shift toward premium, high-impact environments that drive engagement and brand recall. That shift was reflected in strong sell-through across our premium national inventory, led by our Platinum and post-show inventory. As advertisers allocate more spend toward high-impact brand-safe environments, these premium options supported stronger monetization of our inventory and fueled a 27% year-over-year increase in overall impressions sold per attendee in the fourth quarter. We're also seeing tangible benefits from the standardization of our national footprint following our extended agreement with AMC. With a more consistent show structure, we are making campaign planning and scaling more efficient, strengthening our ability to drive demand and improve inventory monetization over time. Given the ongoing industry-wide tailwinds and our superior platform, we believe NCM is well positioned to capture a greater share of advertiser budgets, and we're seeing strong early demand indicators for 2026. Looking at the domestic box office, performance was mixed this quarter. While the quarterly box office total fell shy of industry expectations, NCM saw meaningful revenue pickup in the middle and tail end of the quarter. This was driven by major franchise releases, including Wicked: For Good and Avatar: Fire and Ash, that supported solid bookings and campaign activities as moviegoers continue to demonstrate their enduring love for cinema in the critical holiday period. Total attendance across NCM's network in the fourth quarter increased approximately 7% year-over-year to $107 million. With advertising revenue up 9% over that same period, we grew ahead of attendance, underscoring the value of our audiences, continuing appeal of our platform, and progress in efficiently monetizing open inventory across our network. As a reminder, NCM's year-over-year attendance growth also reflects the inclusion of an extra week in our fiscal fourth quarter this year. Despite this additional week of attendance, total advertising revenue per attendee increased in the fourth quarter, reflecting strong demand from advertisers. Now turning to our programmatic and self-serve initiatives, which are critical components of our strategy in capturing more premium video ad spend and increasing on-screen and in-lobby inventory utilization. Programmatic revenue increased 100% year-over-year as the offering continued to unlock new portions of client advertising budgets, specifically earmarked for programmatic initiatives. Compared to the prior year period, the total number of programmatic advertisers in the fourth quarter increased 2.4x, reflecting our continued investment in additional supply-side platform partnerships that further broaden access to our inventory and drive continued adoption by advertisers. Additionally, industry standardization continues to advance scalable access to cinema inventory, including recently updated inventory classifications that improve the discoverability of cinema within omnichannel programmatic workflows. Turning to local. Self-serve also gained further traction following the launch of the upgraded platform earlier in the year. Our generative AI-enabled tools increased creative control and shorten time to market, driving particular value for small and midsized advertisers as well as large advertisers looking to localize their national campaigns for greater impact. Looking at fourth quarter self-serve performance, we delivered 64% year-over-year growth. Self-serve remains a key driver of our long-term growth strategy, helping drive both national and local demand by making cinema advertising easier to access while allowing our sales team to prioritize larger, more strategic opportunities. In the fourth quarter, we saw encouraging signs of improvement as the national market stabilization we experienced in the third quarter extended into local markets as well. Local revenue increased year-over-year, reflecting the progress we're making as we reset and rebuild the local business. Importantly, we're seeing that improvement transit into better operating momentum as we refocus the local organization. We also made deliberate investments in local this quarter, including hiring a seasoned new senior leader to sharpen focus, improve operating discipline, and accelerate execution. We've also reengaged the local sales team around a clearer strategy and increasing day-to-day accountability with a more diversified list of targets and measurable outcomes. Operationally, we continue to scale local data-driven advertiser targeting, deepen our category expertise, and prioritize key verticals, including government, automotive, home services, and local law firms. As part of that effort, we are increasingly directing higher-value relationship-driven accounts to our sales teams while routing smaller transactional opportunities to our self-serve and programmatic solutions. Our NCMx-powered local data capabilities provide greater visibility into where demand is strongest and where inventory is most attractive, improving planning discipline and execution at the market level. In addition, our AI-enabled creative localization tool, Bullseye, continues to gain traction. For example, in the fourth quarter, one of the largest national retailers leveraged this capability to produce over 70 different local creative executions within one campaign, generating over 15 million impressions and demonstrating the power of our platform to enhance national campaigns with meaningful market-specific customizations. The campaign also drove measurable performance results with third-party measurement showing a 34% lift in foot traffic to retail locations. Taken together, we believe these steps position us for continued improvement in local performance as market conditions improve. Our offering remains a differentiator, giving advertisers a highly effective geo-targeted way to reach desirable audiences in a captive opt-in environment at scale. We see local as a meaningful return to growth opportunity, supported by our recent leadership investments, a renewed focus on execution and the positive momentum we saw emerge in the fourth quarter. This year, NCM continued to connect advertisers with sought-after engaged audiences in uniquely immersive ways. As production studios lean in on sequels and remakes to capitalize on fan favorite franchises, we're seeing particularly strong advertiser demand against these films. In addition to our existing premium inventory, we're meeting that demand through custom title-themed preshows designed to tap into moviegoer enthusiasm. This quarter, alongside the tent pole release Wicked: For Good, we delivered branded preshow experiences featuring trivia and franchise flashbacks that celebrated fan engagement. These custom integrations enhance the value of our preshow inventory and helped offset the softer-than-expected box office performance. Given their success, we plan to significantly expand our custom preshow activations in 2026, leaning into popular franchise installments such as Toy Story 5, Spider-Man: Brand New Day, Minions 3: Mega Minions and Dune Messiah. We are also leveraging AI-enabled creative tools to accelerate production and customization, allowing us to respond more quickly to early box office signals and capitalize on breakout hits. We also made progress in our network expansion initiative this quarter. The strategic acquisition of Spotlight in November brings premium luxury screens and audiences to our platform, expanding our reach and appeal among high-end luxury advertisers while creating new revenue opportunities. Our Spotlight strategy is progressing as planned and is diversifying and deepening our appeal to new advertisers. As we head into 2026, our continued investments are strengthening NCM's ability to compete and win in the premium video advertising market. We remain focused on attracting new advertisers, deepening existing relationships, and continuing to prove the differentiated value of cinema advertising. The upcoming 2026 slate is robust and balanced and represents a meaningful improvement versus recent years with a more consistent flow of major releases across all 4 quarters. This steadier cadence supports more predictable campaign planning for advertisers, assuming box office performance tracks current expectations and provides longer demand-generating runways for highly anticipated tent poles like the Super Mario Galaxy Movie, Christopher Nolan's The Odyssey and Avengers: Doomsday. 2026 is shaping up to be the first true benchmark year for the industry since the pandemic and the first normal box office year since the industry strike. As the market continues to return, we believe there is meaningful upside for NCM. Looking to the first quarter, early visibility is encouraging. We are seeing continued contribution from December releases with titles such as Avatar: Fire & Ash, Zootopia 2, and The Housemaid carrying the holiday momentum into the start of the year. As Ronnie will explain in his remarks, NCM's first quarter results will reflect the absence of the first week of January, which was included in our fourth quarter this year. That said, we're encouraged by sustained demand for our inventory, driven by first quarter hits, including Send Help and Wuthering Heights.
Ronnie Ng: Normalizing for the 53rd week, we estimate that total attendance for the fourth quarter would have been approximately 92 million, down 9% versus the prior year. Against that backdrop, NCM reported total fourth quarter revenue of $93.2 million, within our guidance range and up 8% year-over-year. This growth was driven by a strong recovery in demand across key advertising categories, including entertainment and media, pharma, and technology. Advertisers also continue to adopt our programmatic platform, driving 100% year-over-year growth in programmatic revenue. Importantly, our programmatic platform continues to help fill available inventory and improve utilization across our network, enabling us to keep total revenue per attendee steady while supporting stronger overall performance. National advertising revenue for the fourth quarter was $76 million, up nearly 10% from $69.2 million in the prior year. In the fourth quarter, we drove a 27% increase in national impressions sold per attendee, reflecting a 72% increase in Platinum impressions sold per attendee and a 53% increase in post-show impressions sold per attendee. This performance reflects healthy advertiser demand for our premium inventory and the continued benefits of the standardization of our national footprint following our amended agreement with AMC. National revenue per attendee increased to $0.71 in the fourth quarter, supported by the increased advertiser demand and our ongoing efforts to optimize pricing. On a comparable basis, national revenue per attendee increased 10% versus the prior year period. Local and regional advertising revenue for the fourth quarter was $13.8 million, up 2% from $13.5 million in the prior year. We are encouraged by the year-over-year improvement driven by the continued recovery of local advertising demand, coupled with our team's targeted approach and continued investments in our self-serve offering. We saw particular strength across the gaming, retail apparel, technology, and health care categories. Looking ahead, we expect this positive momentum to continue, supported by our focused local sales strategy. Turning to our expenses. Fourth quarter total operating expenses were $69.4 million, up from $66.3 million in the prior year, reflecting onetime charges related to cost savings initiatives and spotlight transaction costs. Excluding one-time items, depreciation, amortization, and noncash share-based compensation, our adjusted operating expenses were $56.1 million, up from $51.3 million in the prior year, driven by higher attendance-related exhibitor fees and a slight increase in SG&A. SG&A was up 5% in the fourth quarter, reflecting the inclusion of Spotlight's SG&A expenses and the extra week in the period as compared to the prior year. These additional expenses were partially offset by our continued cost management efforts. On a comparable basis versus the prior year, SG&A was down approximately 1% in the fourth quarter. Fourth quarter adjusted OIBDA was $37.2 million, exceeding our guidance range and up 6% from $35 million in the prior year, reflecting the strong holiday period demand, lower-than-anticipated attendance, and disciplined expense management. Total unlevered free cash flow for the quarter, as defined by cash flow from operations adjusted for cash interest expense less capital expenditures was $6.1 million compared to $28.3 million in the prior year. This decrease was primarily driven by a shift in the timing of receivables collections from select agency partners as well as a tougher comparison to the prior year fourth quarter, which benefited from approximately $13 million in client advance prepayments for advertising scheduled to run throughout 2025. Now turning to our full year results. NCM's full year 2025 total revenue was $243.2 million, up 1% from $240.8 million in 2024. Total revenue was primarily driven by national advertising revenue, which increased 3.5% to $194.5 million. The increase in national advertising revenue was primarily due to a 21% increase in national impressions sold per attendee and a 3% increase in attendance across our network due in part to the additional week in our fiscal year 2025. As we focus on increasing utilization across our network, we continue to test price in the market to ensure we are optimizing both utilization and monetization to drive revenue growth. Based on the results we gathered, we strategically decreased national advertising CPMs by 18% year-over-year and are remaining mindful of our monetization rates to ensure NCM's inventory remains both competitive in the market and profitable for the company. Local and regional advertising revenue for the full year was $34.6 million, down from $39.1 million in 2024. This decrease was driven primarily by the trade-related pullback in the pharmaceutical, travel, government, and automotive categories earlier in the year, which has since normalized. This impact was partially offset by an increase in contract activity and size within the gaming, technology, beverages, retail and apparel, and health care categories in 2025. Full year beverage revenue increased 2.9% to $14.1 million in 2025, reflecting the increase in attendance at ESA Party exhibitors across our network. Turning to our full year expenses. Total operating expenses were $257.1 million, down from $260.3 million in the prior year. This decrease reflects lower amortization expense, administrative costs, and network operating costs in the year, partially offset by higher attendance-related exhibitor fees. Excluding one-time items, depreciation, amortization, and noncash share-based compensation, our adjusted operating expenses were $204.2 million, up from $195.1 million in the prior year, driven by higher attendance-related exhibitor fees and a slight increase in overhead expenses. Full year adjusted OIBDA was $39.1 million, down from $45.7 million in the prior year, primarily driven by the trade-related advertiser headwinds we saw in the first half. Turning to our consolidated balance sheet. At the end of the fourth quarter, NCM had $37.6 million of cash, cash equivalents, restricted cash, and marketable securities. We had $12 million of total debt at quarter end, reflecting a draw on our revolver relating to the acquisition of Spotlight in the fourth quarter. Importantly, this was a deliberate and temporary use of the revolver to fund a strategic transaction. Turning to shareholder capital returns. In 2025, we returned approximately $33.6 million to shareholders, which included $11.3 million through the dividend program we reinstated this year and $22.3 million contributed toward our ongoing share repurchase program. Under the dividend program, we announced a quarterly dividend of $0.03 per share today, amounting to $2.8 million. This quarter's dividend will be paid on March 23, 2026, to stockholders of record as of March 9, 2026. After a period of seasonally higher use of cash for working capital in the third quarter, NCN resumed share repurchases in the fourth quarter, bringing our full year total to 4.1 million shares repurchased in 2025 at an average price of $5.41 per share. Now turning to our guidance. For the first quarter of 2026, it is important to keep in mind that there are several factors to consider, which impact the comparability to prior periods. Since this past fourth quarter included a 53rd week, this shift in our calendar year would mean that the first quarter would not have the benefit of the week between Christmas and New Year's. Secondly, we are expecting reduced beverage revenue due to contractual adjustments and the election by an exhibitor to change the number of beverage spots. If you were to pro forma these changes in beverage revenue for the full year of 2025, then the implied impact to total revenue would be slightly below 2%. Lastly, the Winter Olympics this year makes February a tougher comparison as advertisers temporarily shift their focus to the quadrennial event. Importantly, our first quarter outlook does not reflect any change in underlying demand. Advertising momentum remains intact with revenue for the complete calendar month of January coming in line with the prior year despite the loss of the holiday week. With that said, for the first quarter, we expect revenue to be between $32.5 million and $36.5 million, with adjusted OIBDA between negative $13 million and negative $10 million. In addition to the factors I just mentioned, our adjusted OIBDA outlook reflects higher expected attendance-related expenses than the prior year, driven by an increase in moviegoer activity. Looking ahead, we believe the investments we made in 2025 position NCM to capture continued growth in advertiser demand against a strong upcoming slate in 2026. Highly anticipated films, including The Super Mario Galaxy movie, The Devil Wears Prada 2, Star Wars: The Mandalorian & Grogu, and the live-action remake of Moana are driving strong interest from advertisers, and we believe we are positioned to capture that demand as it materializes. In addition, our asset-light model provides operating leverage that further positions NCM to drive profitable growth as audiences return for these upcoming hits. With positive momentum in our business, a strong 2026 film slate, and a continued investment in our platform, we are well positioned to continue generating strong results for our shareholders. Operator, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from Eric Wold with Texas Securities.
Eric Wold: A couple of questions. I guess, first off, you talked about, obviously, with regards to Q1 guidance, no change in kind of what you're seeing in terms of advertising demand and the strength you saw in January. I guess looking further out, can you give us a sense of what you're seeing in terms of forward bookings later in the year versus maybe what you would have seen this time last year? I'm not looking for specific numbers or guidance, but maybe kind of indications around if advertisers are booking further out in the films to be more comfortable with campaigns later in the year or if they're still waiting a little bit closer to kind of planned advertising dates?
Thomas Lesinski: So I think we've commented on the upfront in the past and how that's booked already going forward into this year. And our upfront is -- was up year-on-year. So that's obviously a really positive sign correlated to the strength of the upcoming box office slate. As it relates to scatter, we were only really 2 kind of months into the year. So it's really hard to forecast the Q1 first 2 months going out further. But we are seeing good signs of additional inventory being purchased in Q1 -- I mean, in Q2 and in Q3. So -- so far, the actual demand and the actual performance on the platform looks good, especially compared to last year.
Eric Wold: Perfect. And then a follow-up question, obviously, with the strong demand you're seeing, strength you're seeing with both the Platinum and the post-show, especially now with AMC coming into the mix. How much of a benefit could that start to have or is having on kind of average revenue per impression? Has that become -- continues to grow as a portion of revenue? How much of a tailwind could that have on that metric?
Thomas Lesinski: Well, I think the AMC piece of the equation that you discussed is critical because obviously, you're comparing year-on-year where we didn't have it. Eventually, that will even out on a comp basis. But clearly, that inventory, both the post-show and the Platinum part of it are obviously much more expensive inventory. So that is definitely going to be a tailwind for us. So it was obviously one of the primary reasons we did that new agreement. So we're seeing the benefits of that. And so far, this year looks really good on the Platinum and on the post-show front, especially with the addition of AMC.
Operator: Our next question comes from Patrick Sholl with Barrington Research.
Patrick Sholl: Just with the fourth quarter being a little bit softer than expected, did that create like any sort of issue in terms of like make goods? And I guess, is there any sense of how advertisers would fulfill that over the course of the year?
Ronnie Ng: Yes. So Pat, I think you're referring to the box office in the fourth quarter coming lower than expected. So you're right. There's a few films that obviously contributed to that between Thanksgiving and Christmas. Now going -- exiting out the year, there was a higher amount of ADUs or make good than we traditionally had in other fourth quarters because of that. So which also, by the way, is a good representation of that demand. The tricky part is in terms of fulfilling that 80 to make good for 2026 is that it's not going to be all fulfilled in the first quarter. It will be over the course of the next 2 to 3 quarters, so anywhere between the first and the third quarter.
Patrick Sholl: Okay. And can you provide any more detail just sort of sizing out that week between Christmas and New Year's and the contribution that that provides on a revenue basis? And just how you kind of view the film slate over the course of the year and creating kind of a critical mass of attendees to maintain consistent advertiser demand?
Ronnie Ng: So -- yes. So what I will say about the last week because for us, the -- this year in terms of that week between Christmas and New Year's was really strong, much stronger than the one we experienced in 2024. The total ad revenue was multiples higher for that week. What I'll also say is that if you were to look at the fourth quarter period between '25 and '24 and you were to add that week into '24, the comparable revenue per attendee would have been up in the low double percentage area. So that should give you a sense of how strong that demand was in that last week.
Operator: Our next question comes from Mike Hickey with StoneX.
Michael Hickey: Great job on 4Q here. I guess just thinking about Q2, Q3, Q4, obviously, a pretty big expectation. I think everyone is afraid to put it in the math. I respect that, but the box office looks like we could get some real growth here this year. Just curious how correlated your ad business is, Tom, to the growth of the box. We see the box growing strong. Should we also expect your business to pick up? And I'm also curious, I mean, are you seeing it on the media buyers? Like are they also excited for the slate, whether it's scatter or upfront, wherever they buy it, are you seeing -- I would imagine that given the demo that you serve, the excitement for the slate that their interest has picked up this year versus prior?
Thomas Lesinski: Yes. So there definitely is a lot of excitement in Q2 and Q3. Obviously, it's probably the best set of movies since 2019, and we're really optimistic about the performance of those movies. That enthusiasm we have has translated into the marketplace and advertisers are cleanly lining up for the Q2 and Q3 slate. So we've been talking about the return of a really healthy slate diversified across a lot of different genres. We have that in Q2 and Q3, obviously, some very well-known movies and some new ones. So I can say that the confidence that we have with the box office and with the mix of titles has translated into what we believe are really good solid bookings in Q2 and Q3. Obviously, there's still the scatter market to play through over the next couple of quarters, but we're really optimistic about what the next 2 quarters look like for us.
Michael Hickey: Given that backdrop, Tom, and where your stock is, do you still have the balance sheet here to be more aggressive on a buyback?
Ronnie Ng: I think in terms of the buyback, we've actually -- if you look back since the start of this program and plus the dividends that we paid, we've returned nearly $50 million of capital back to shareholders. And like every quarter and every month, we do take a look at our buyback program versus where we see, obviously, where free cash flow would be. So I think we'll continue to review that and utilize every tool at our disposal when the opportunity provides.
Michael Hickey: I think you said, Ronnie, that you took your CPM down by 18%. I'm not sure I heard that right. Was that for '25? Obviously, maintaining your rate card has been something you guys have done historically. Can you just talk about, if I'm right, if I heard that right, the decision to do that and how that sort of sets you up this year as more of a value product, I guess?
Ronnie Ng: Yes. Right. So Mike, you did hear that correctly for the full -- on a full year basis. And part of that also relates to the strategy around utilizing programmatic in certain spots as well, right? So that will affect CPM to better inventory utilization or increased inventory utilization. So that did factor into that. The other part of it as well is just being opportunistic in terms of opening up different categories in advertising categories. So certain advertising categories historically have always been lower CPMs. But the truth as well is that they have larger and deeper pockets. So when we actually broaden our advertising base, you'll naturally go into different advertising categories that just have lower CPMs for that market.
Michael Hickey: Last question, guys. It sounded like the Olympics was a negative for you. Is the World Cup a negative? Is the political spend anticipated here later mid-term? Is that also a negative or those positives?
Thomas Lesinski: I think the political monies have the potential to be an upside for us. We've been working heavily on courting that different kind of advertiser for a while now, and we certainly have the opportunity to monetize that. I don't think the World Cup is going to be comparable in my mind in the U.S. advertising impact. The U.S. Olympic advertising and sponsorship and I think it's just -- it's more pervasive and across more categories. The World Cup obviously will be popular here, but the commitment that advertisers made with the network across all of the Olympics is really substantial. Obviously, we knew it was coming. So we planned around it. We even took advantage of it to some degree. But I wouldn't suspect it will be similar on the World Cup. Certainly, the World Cup is a big deal. But the advertising impact, I think, from the Olympics is more substantial in the industry than on the World Cup in the U.S.
Ronnie Ng: Yes, Mike, I'll also add one thing to that is the Olympics happens in February, in the first quarter, where the total advertising demand across all markets is lower. So grabbing that extra pie or attention and trying to get that away from the Olympic event is just going to be harder versus the World Cup, which is going to be in June.
Operator: Our next question comes from Alicia Reese with Wedbush.
Alicia Reese: I'm wondering if you could talk a little bit more about the national advertising opportunity as you shift to local. If that is incremental ad dollars from those national advertisers who wish to do more local advertising or if there is a bit of cannibalization maybe on a different CPM rate. If you could talk a little bit more about that detail and remind us if that stays in the national bucket versus the local regional.
Ronnie Ng: Yes. So we're definitely seeing some advertise -- and it's actually situation dependent with whoever the advertiser is, but we are seeing some national advertisers that are looking on a more regional basis, right? So obviously, that would be beneficial to local advertising. I wouldn't think about it as cannibalization of one bucket versus the other or overall in our total advertising revenue. From our perspective, we'll always do business replace advertising when it's economically beneficial. Obviously, like there are some CPM differences between the local markets, regional markets and national. And in some instances, local market CPMs are actually at a premium to national CPMs. So it's going to be really dependent on what time of the year and what our advertisers are really looking for. But we believe that it's all accretive at the end of the day because it's all increasing demand throughout the show.
Alicia Reese: Perfect. Yes, that's what -- that was the implication of that. So I appreciate the clarity on it. And then for the political advertising, historically, correct me if I'm wrong, the exhibitors have not allowed political advertising. Has that changed?
Thomas Lesinski: I don't want to get into the specifics of it because it's a political issue, just kidding. The truth of it is there is an interest from select exhibitors, not all, to support political. And depending on who we're talking about in particular, some we have -- we can do quite readily. In some cases, there is a approval process required, but we've been working on that for a couple of years now. And I think more and more people are seeing it as an opportunity that's mutually beneficial, assuming it's the right kind of advertising. So we're optimistic about that. And I think in certain select markets, the key markets in swing states and whatnot, that there will be a lot of demand for political for our platform.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Tom Lesinski, CEO, for any closing remarks.
Thomas Lesinski: Thank you for joining us today. NCM's fourth quarter results reflect the hard work of our team and our continued focus on driving higher advertiser demand and efficiently monetizing inventory across our network. As advertiser enthusiasm for our platform strengthens, we are increasingly confident in our strategy and our ability to deliver differentiated value through premium immersive cinema advertising experiences. With a robust and balanced 2026 film slate ahead, we look forward to continuing to connect brands with highly sought-after engaged audiences while strengthening our competitive position through ongoing investments in our platform. Thank you for your support.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.